Operator: Good afternoon ladies and gentlemen. Thank you for standing by. And welcome to the PTC 2018 First Quarter Conference Call. Today's call is being recorded. If you have any objections, you may disconnect at this time. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for question and then closing remarks will follow. I would now like to turn the call over to Mr. Tim Fox, PTC's Senior Vice President of Investor Relations. Please go ahead.
Tim Fox: Good afternoon. Thank you, Michelle. And welcome to PTC's 2018 first quarter conference call. On the call today are Jim Heppelmann, Chief Executive Officer; Andrew Miller, Chief Financial Officer; and Barry Cohen, Chief Strategy Officer. Today's conference call is being broadcast live through an audio webcast, and a replay of the call will be available later today on our Investor Relations Web site. During this call, PTC will make forward-looking statements, including guidance as to future operating…
Operator: Please continue to stand-by, there’s been technical difficulty. Mr. Tim Fox, PTC, Senior Vice President of Investor Relations rejoins the call.
Tim Fox: Thank you again Michelle and apologies for the disconnect there. Welcome to PTC’s 2018 first quarter conference call. On the call today are Jim Heppelmann, Chief Executive Officer; Andrew Miller, Chief Financial Officer; and Barry Cohen, Chief Strategy Officer. Today's conference call is being broadcast live through an audio webcast, and a replay of the call will be available later today on our Investor Relations Web site. During this call, PTC will make forward-looking statements, including guidance as to future operating results. Because such statements deal with future events, actual results may differ materially from those projected in the forward-looking statements. Information concerning factors that could cause actual results to differ materially from those in forward-looking statements can be found in PTC's most recent annual report on Form 10-K, quarterly reports on Form 10-Q and other filings with the U.S. Securities and Exchange Commission, as well as in today's press release. The forward-looking statements, including guidance provided during this call, are valid only as of today's date, January 17, 2018, and PTC assumes no obligation to update these forward-looking statements. During the call, PTC will discuss non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in today's press release made available on our Investor Relations Web site. And with that, I'd like to turn the call over to PTC's CEO, Jim Heppelmann.
Jim Heppelmann: Thank you, Tim. Good afternoon, everyone, and thank you for joining us, and sorry once again for the gremlins that interrupted our start at the first time. I'd like to begin today with a review of the first quarter results and then provide some perspectives on the significant accomplishments and milestones that we achieved in the quarter. Q1 results represent a strong start to FY18 and this continues the momentum we've built over the last several years. Bookings of $104 million were $12 million or 13% above the high end of our guidance range, representing growth of 16%. PTC achieved an important milestone by booking more than $100 million in the first quarter, and was driven by broad based strength across our business. Once again, we had strong performance in CAD, PLM and IoT and in the Americas, EMEA and the reseller channel. On the subscription front, both bookings and ACV exceeded the high end of guidance. Q1 revenue was above the high end of our guidance range, while EPS was near the high end, growing 17% year-over-year, reflecting the pattern of accelerating earnings growth we expect as our subscription model continues to mature. Momentum around our recurring revenue model progress further in Q1 with total deferred revenue, both billed and unbilled of $1.17 billion, growing $344 million or 42% year-over-year. Our annualized recurring revenue or ARR was $928 million, growing over $100 million or 13% year-over-year. This was the fourth quarter in row of double-digit growth and highest growth rate to-date. These metrics demonstrate that we have indeed established a very solid growth platform for our business going forward. To summarize my commentary on Q1, I once again frame the discussion around the three strategic initiatives to maximize long-term shareholders value, which are; first, increasing our top line growth; second, converting to a subscription model; and third, expanding our margins. Let me start by discussing our progress on growth front. Q1 bookings grew 16% overall and 11% on a constant currency basis once again reflecting broad based strength across our major products and regions. From a geographic perspective, Europe and Americas continue to deliver very strong results with constant currency bookings growth of 23% in Europe and over 30% in Americas if you exclude the exceptional eight-figure IoT mega deal from the year ago period. APAC also delivered strong Q1 results with constant currency bookings growth of 21%, driven by strong results in China and Korea and a modest recovery in Japan, which grew over Q1 of 2017. In Japan, we still have work to do, but we're pleased to see things moving in the right direction over the last two quarters. Let's start by discussing IoT, our highest growth business. The first quarter performance in IoT was another proof point that the market is rapidly developing, the adoption is accelerating and that this opportunity is global. If you exclude the eight figure mega deal from Q1 of '17, then first quarter IoT bookings growth exceeded the 30% to 40% estimated IoT market growth rate and recurring IoT software revenue grew 31% as the compounding benefit of our maturing subscription model begins to be realized. Customer expansions are once again a key growth driver, accounting for over 60% of our ThingWorx bookings, which is a clear indication that IoT momentum is increasing. In addition to strong six figure deal activity in Q1, we closed five seven figure deals, tying the record we set last quarter in Q4 of 2017. IoT bookings continue to come from a wide variety of vertical markets, geographies and use cases, lead now by the Industrie 4.0 factory operations use case, followed by the service optimization use case for smart connected products. Let me share some customer examples to illuminate our success in the Industrie 4.0 factory setting. During the quarter, we closed a major expansion deal in Korea with Hyundai Heavy Industries, who is deploying ThingWorx and ThingWorx Studio across their enterprise to power this global smart manufacturing initiative. Meanwhile, in the Americas, the life sciences industry remains at the forefront of IoT adoption, a good example of which is the 15 site expansion we closed with one of the world's premier biopharmaceutical companies to deliver operational intelligence, analytics and predictive maintenance across the manufacturing footprint. In what is to us a greenfield market of process manufacturing, we continue to have a lot of success, particularly in food and beverage and consumer products. In Q1, our process wins included a very large food and beverage company headquartered in Switzerland, a Danish global brewing company and a major U.S. based producer of dairy nutrition products, all of which highlights the broad applicability of our industrial innovation platform. Back in discrete, a significant customer win was an expansion deal with Sealed Air, who is a global leader in the food and product packaging industry with brands you might recognize like Cryovac and Bubble Wrap. Sealed Air who is an existing ThingWorx customer signed a significant expansion with PTC, deploying our Kepware software to standardize edge connectivity for remote monitoring of packaging equipment in order to gain critical insights around operational efficiency. Kepware’s capability to enable remote connectivity of heterogeneous brownfield assets gives us the unique and significant cross sell opportunity for ThingWorx in the smart connected operations use cases across the broad range of industries. Turning to the Smart Connected Product or SCP use case for IoT. I’d like to highlight one of our largest IoT deals in the quarter. Colfax, a global diversified industrial technology company, selected ThingWorx to build out SCP use cases for remote monitoring and predictive service. Colfax is a great example of how ThingWorx complements the capabilities of large cloud players. In this case, our sales team collaborated with their Microsoft counterparts. Both teams landed a win as Colfax will deploy ThingWorx on Microsoft's Azure cloud services, capitalizing on the respective and complementary capabilities of both PTC and Microsoft IoT technologies. On the IoT ecosystem front, the ThingWorx partner team inked a host of new OEM design wins and expansion deals across the diverse set of use cases and industries, including smartcity applications, utilities, healthcare, energy and communications. Our ability to access these opportunities through a partner ecosystem expands our addressable market and adds to our exciting long-term growth opportunity. In just the last few weeks, we've announced the opening of four new ThingWorx centers of excellence with Capgemini, Infosys, Wipro and Cognizant. These new centers add to the three existing centers previously established with L&T, Tech Mahindra and KPIT over the past year. Partnerships like these are critical to establishing a software growth business, and with PTC’s momentum attracting more and more partners, the ThingWorx partner ecosystem remains the strongest in the industry. Lastly, on the new technology front, I'd like to touch on the momentum we’re seeing around our augmented reality technologies, which are highly differentiated elements of PTC story and importantly, are being put into production and the accelerated pace across the number of industrial use cases. As a reminder, the first part of our augmented reality story is delivered through our horizontal Vuforia AR engine, which is available to a wide range of developers who want to build applications that can see using computer vision. And the second part is deliver to our verticalized ThingWorx Studio AR content offering suite, which enables enterprises to create and share powerful AR experiences without writing any code. Vuforia's developer ecosystem has passed 400,000 developers and is growing fast, while the ThingWorx Studio now has over 6,000 enterprises who have purchased or are test driving this technology for a broad range of industrial use cases, including augmented service and maintenance instructions, operator instructions and virtual product demonstrations. While it’s still early days for AR in the industrial setting, we have a very strong leadership position. Interest levels are sky high and we're seeing commercial adoption accelerate with studio bookings growth in Q1 up 20% sequentially from Q4 of 2017. We continue to innovate in AR and the release of Vuforia 7 in December was our biggest and most powerful release ever. Key features in this release include Vuforia model targets that enable applications to see and recognize physical objects by their shape as determined by a CAD model. In addition Vuforia's new spatial tracking capability enables virtual objects to be placed on the ground, on a floor or on the table top surface. This allows developers to build visualization apps that range from in-home furniture shopping to AR design reviews in the industrial setting. And it can run those same apps on Apple, Android or Windows Surface and Hololens devices. These new features further differentiate our solutions from competing technologies and extend PTC's technology lead in AR and IoT. Looking at these new technologies from a higher level, clearly there's a lot of talk and hype around IoT and AR coming from various angles. And I realize that at this point some investors still view our IoT business as an interesting option. We're following a very strong fiscal '17 year, our Q1 performance gives another data point, suggesting that the industrial IoT market is real and that PTC is winning in this market. PTC has been successfully building a real business for several years now and our IoT software bookings are now approaching the size of our PLM and CAD businesses, but with a growth rate that is multiple times higher. At current course and speed, it won't be long before IoT has to be viewed by all as equally core to PTC as CAD and PLM are today. Now as excited as we are about our IoT businesses, I am pleased to once again report that our solutions business did extremely well. In Q1, solutions bookings grew multiple times faster than the market, driven by our core PLM and CAD businesses. During the quarter, our leading position in the PLM markets was reinforced by the Forrester Wave report on PLM as evaluated discrete manufacturing PLM vendors across a wide range of metrics measuring both strategy and the strength of current offerings in the market. Forrester is considered to be one of the most respected tier one industry analyst firms and as such, we're very pleased to secure the top spot in their PLM vendor analysis. In addition to the breadth and depth of our core PLM technology, Forrester cited PTC's move into IoT as a key strategic play, which is great evidence that this new IoT business is changing the rules of competition in the traditional PLM business as well. You can find a copy of this Forrester Wave report on our investor Web site. Now landing the top position in a top tier industry analyst report is great, but landing a big win at a new top tier customer is even better. This quarter, our PLM strength and differentiation was further validated by a major strategic win at BMW. PTC was selected following the highly competitive process to replace the legacy platform for manufacturing build material management or what we call MBMM. Windchill will soon be the enabler for configuring and releasing car orders into production across BMW's 19 global automotive factories. We won this deal on the backs of our industry leading PLM technology together with impressive out of the box manufacturing capabilities. Navigate, which you know is our role based PLM solution built on the ThingWorx Innovation Platform, was a key part of this solution. Needless to say, BMW represents a major new automotive customer for PTC and we're pleased to be part of their strategic multi-year global digitization strategy. And not to be left out, our CAD team delivered another impressive quarter as well. We believe that CAD bookings benefitted modestly from last time perpetual purchases to the tune of about $4 million. But even excluding these last time buys, CAD bookings still grew double-digits year-over-year. Clearly, our Creo business has a solid product offering that continues to benefit from our go to market optimization initiatives, evidenced now by eight consecutive quarters of double-digit bookings growth in our reseller channel. To close out my commentary on the growth front, following very strong performance in Q4 of last fiscal year, we’re pleased this momentum carried into Q1, resulting in an impressive bookings performance by our sales organization that started fiscal '18 on such a high note. Let me turn now to our second top level initiative to drive shareholder value, which is our transition to a subscription model. Our subscription bookings in ACV were ahead of the high end of our guidance in Q1. The Q1 mix of 67% subscription bookings was just slightly below our guidance but that is due to the effects of the last time perpetual buys in the America and Western Europe regions, which totaled about $4 million. This negatively impacted the subscription mix by several percentage points. Now frankly that's a good problem to have, because with the Americas and Western Europe now fully subscription based going forward and most of the rest of the world going subscription only beginning in January 1, 2019, we have high confidence in our long term subscription mix and recurring software revenue targets. Let me wrap up my comments by discussing our third top level initiative to drive shareholder value, which is to further increase our operating margins. In Q1, our operating margin was at the mid-point of our guidance range despite higher commissions on bookings that came in well above guidance, and was an improvement of 110 basis points over Q1 of '17. As Andrew will detail in our guidance discussion, we expect to deliver continued operating margin expansion in fiscal '18 and then achieve rapidly accelerating margin expansion in fiscal '19 and beyond as the compounding benefit of multiple years of our maturing subscription model is realized. Illustrating this compounding benefit of subscription, in fiscal '18, we continue to expect that recognized subscription revenue will exceed subscription bookings for the first time. The subscription business model has been a long journey for PTC but now we’re starting to enter the most enjoyable phase where reported revenues and earnings begin to climb quickly on a year-over-year basis as we begin to harvest the benefit from all of that revenue that we previously deferred. In closing, I'd like to reinforce our commitment to our long range plan to transform PTC into one of the premier software companies in the world by 2021, a subscription company with revenues approaching $2 billion with double-digit growth rates and margins in the low 30s. Q1 of '18 was another solid quarter of execution across the three dimensions of that plan, and it sets us up for continued success in fiscal '18 and beyond. With that, I'll turn the call over to Andy, who will review some of the financial highlights with you.
Andrew Miller: Thanks, Jim, and good afternoon, everyone. Please note that I'll be discussing non-GAAP results and guidance. Q1 bookings of $104 million were $12 million above the high end of guidance and grew 16% as reported and 11% in constant currency, driven by broad based strength across the business. Total deferred revenue billed plus unbilled increased year-over-year by $344 million or 42% to $1.17 billion. Billed deferred revenue was up $56 million or 15% year-over-year despite having one less billing day in the quarter versus last year. We believe total deferred revenue billed and unbilled combined is the most relevant metric, as there is seasonality to the timing of our recurring revenue billings throughout the year and due to the timing of our fiscal quarter ends. ARR grew 13% year-over-year to $928 million. Subscription bookings in ACV exceeded the high end of our guidance, however, subscription mix was 1 percentage point below guidance due to last time perpetual buys in the Americas and Western Europe, which impacted mix by 3 percentage points. Excluding the last time buys, subscription mix would have been about 70% above our guidance. Due to the continued strong adoption of our subscription offerings, we announced today that with a few exceptions as of January 1, 2019 new licenses will be subscription only globally. Our subscription conversion program continues to progress well with 24 enterprise customers converting their support contracts to subscription and in our channel the new program launched in Q4 '17 is gaining traction with 134 conversations in Q1. We believe that the conversion opportunity within our customer base is substantial and will continue to play out over many years. Turning to the income statement. Total first quarter revenue of $307 million was $5 million above the high end of our guidance range, up 7% year-over-year despite a decline in professional services revenue of $4 million. Q1 was the fourth quarter of year-over-year revenue growth since launching our subscription program at the beginning of fiscal '16, highlighting that we have exited the subscription trough. Software revenue was up 10% year-over-year despite a year-over-year increase in our subscription mix, including 82% growth in subscription revenue and 12% growth in total recurring software revenue. Approximately 87% of Q1 software revenue was recurring. Operating expense in the first quarter of $183 million was $3 million above our guidance range, driven primarily by higher commissions from our bookings over-performance. FX was also a factor. Q4 operating margin was within our guidance range of 16% to 17% despite higher commissions. EPS of $0.31 was at the higher end of our guidance. Moving to the balance sheet. Cash and investments of $342 million were up $12 million from Q4 '17 driven primarily by $19 million of adjusted free cash flow, an increase of $57 million from Q1 '17. Collections were up $60 million from Q1 a year ago. You will recall that we have significant cash outflows in our first quarter when we pay our annual bonus, high Q4 commissions withholding taxes on annual RSU grants and a six months bond interest payment. Now turning to guidance. Based on our strong performance in Q1 and our outlook for the rest of the year, we are raising top and bottom line guidance as well as cash flow guidance. We now expect bookings in the range of $455 million to $475 million. This represents growth of 9% to 14% year-over-year. I would like to highlight that while we have increased the full-year bookings outlook, we did not incorporate all of the Q1 bookings over-performance in the guidance, primarily reflecting $3.5 million deals originally slated for Q2 that closed early. You'll note that this is the second quarter in a row where we see the handful of deals close earlier than expected, reflected in a nice uptick in our close rates. However, since it is only the first quarter and deals can move around, we think it's prudent at this point in the fiscal year to not be overly aggressive around our close rate assumptions. We continue to expect the description mix of 80% for the full fiscal year and expect to exit the year in the 85% range, which is consistent with our long range subscription mix target. We expect fiscal '18 total revenue of $1.235 billion to $1.250 billion, an increase of $10 million at the midpoint of our previous guidance. We've increased our subscription revenue guidance to $460 million to $470 million, growth of approximately 65%. Fiscal '18 recurring software revenues is expected to grow 13% to 15%, total software revenue is expected to grow 7% to 9%, and ARR is expected to grow in the mid-teens. Note that we expect recurring software revenue to exceed 90% of our total software revenue in fiscal '18. We expect our services margin to be 20% and we expect OpEx in the range of $727 million to $737 million, a modest increase from our previous guidance, primarily reflecting higher commission expenses from higher forecasted bookings for the year along with modest FX headwinds. Fiscal '18 year-over-year OpEx growth of 5% to 7% includes about 200 basis points from currency. You'll note our OpEx guidance is in line with our long-term model to grow OpEx at no more than half the rate of bookings growth. This resulting operating margin of approximately 17% to 18%, consistent with our prior guidance and is improvement of 100 basis points to 160 basis points year-over-year. We continue to expect rapid acceleration in margin expansion beginning in fiscal '19 has the compounding benefit of multiple years of our maturing subscription business model is realized. We are assuming a tax rate of 9% to 11% for the full year, resulting in EPS of $1.29 to $1.39, an increase of $0.02 over our previous guidance, which is growth of 15% at the midpoint. We are raising our fiscal '18 free cash flow guidance to a range of $195 million to $205 million, which is year-over-year growth of 82% at the midpoint. As with operating margin, we expect free cash flow to accelerate significantly in fiscal '19 as the subscription model matures. Turning now to Q2 guidance; we expect bookings in the range of $94 million to $104 million; total revenue is expected to be in the range of $300 million to $305 million; Q2 operating expenses are expected to be $176 million to $179 million, down $4 million to $7 million from Q1 despite modest FX headwinds, resulting in operating margin in a range of 16% to 17%. We are assuming a tax rate of 9% to 11%, resulting in EPS of $0.28 to $0.32. Before we wrap up and go to Q&A, I would like to discuss the impact with the recent U.S. tax reform legislation. We have reported the impact in our Q1 GAAP earnings, resulting in a non-cash benefit of approximately $7 million. We have excluded the Q1 tax benefit from our non-GAAP results and from our full year non-GAAP guidance. We continue to expect our FY18 non-GAAP effective tax rate to be between 9% and 11%. Moving beyond fiscal '18, based upon our current analysis, we continue to expect our long term non-GAAP effective tax rate to be between 15% and 20%. We also do not expect a change to our cash tax payments from the new legislation. For while we have accumulated earnings and profits outside the U.S. that would be subject to the new toll tax, we have offsetting tax attributes such as annual carry forward, R&D tax credit carry forwards, AMT tax credit carry forwards and foreign tax credits. With that, I'll turn the call over to the operator to begin the Q&A.
Operator: Thank you. At this time, we will begin today’s question-and-answer session of the conference [Operator Instructions]. Our first question will come from Steve Koenig from Sterling Auty. Your line is now open.
Jim Heppelmann: Steve, I don't think you work for Sterling…
Steve Koenig: I wasn't sure if it was me or Sterling that was lying when we opened up, but I appreciate that didn't ask the question here. I think I'll ask about IoT. So lot of good developments in the quarter clearly. Maybe you can just remind us about that eight figure mega deal a year ago, was this a subscription deal and any color on the nature of that deal that you can remind us. And bigger picture on IoT, when should we think about -- you commented in the prepared remarks I believe about expecting software revenue to accelerate there. Any sense of the cadence or timing on that and any reason that we shouldn't get to 30% to 40% revenue growth to mask the market growth rate at some time.
Jim Heppelmann: Well, why don't I take the first part Andy you can take the second part. So the deal last year we discussed at the time was with a large industrial firm who had made enterprise wide commitment to deploy our software into the smart connected operations types of use cases. So that was a great deal. It was a subscription deal. The size of that deal though in the context of the size of the business, especially at that time, was truly extraordinary. And so when we comp against that quarter with a deal of that magnitude, if you put the deal in last quarter of course you get one answer, which is flattish. If you take the deal out, you get a different answer, which is a lot bigger and really a strong quarter. So I think what you should see is that we're able to basically in terms of growth represent an offset an eight figure mega deal a year later without any such deals in this quarter.
Andrew Miller: And as far as the timing and cadence, Steve, it's really the same thing that’s going on with our total revenue from a software perspective. We only have two years of the compounding benefit in our base. So now that we're getting to the plan where we still are seeing a year-over-year increase for the full year in the subscription mix, for example for the total business we’re expecting it to go from 69% last year to 80%. So that is a headwind too, overall revenue growth. And then you just don't have enough years in the base. So it's actually the same dynamic that you see for the total business. So you will see acceleration in FY19 as we get a third year of subscription revenue that's more significant in our base.
Jim Heppelmann: And maybe I'll add a third part. I alluded to this in my comments, but if you extrapolate forward given the relative sizes of the revenue bases, well not so much the revenue bases but the bookings let me be clear here. It's not going to be long before IoT bookings pass PLM bookings and by that long, I mean possibly in this year. And it wouldn't be too much longer after that at current course and speed before IoT bookings would surpass CAD bookings. So this is really becoming the most core of our core businesses if we can keep executing at the level that we are currently executing at. I should be careful from a revenue standpoint of course there's a long tail of maintenance, which is now subscription recurring revenue associated with our CAD and PLM businesses that's built up over decades and it will take us longer to build up that complete revenue picture. But certainly from a bookings standpoint, IoT is in the passing line.
Operator: Our next question will come from Sterling Auty from JPMorgan.
Sterling Auty: If you look at the FX impact, Andy, can you help us on that front? I mean we’ve seen some pretty big moves, but now that you moved over to a subscription model. How does the FX changes now impact the revenue and business, because I imagine the old formulas just don't hold anymore.
Andrew Miller: So it's a modest tailwind, right now and we hedge our business and subscription. There's greater certainty of what those numbers are going to be. So we can start increasing the percentage of the business we hedge. So that means within typically a three to four quarters perspective, FX is not going to have a material impact. It would have to move a lot to have a material impact on our overall results, because we can simply hedge more. Purpose of hedging remember is to give you time to react to changes in foreign currency rates, not to try to make money off of them. And so we're trying to basically build the period of stability in our top and bottom line results that give us time to react to any material changes in FX rates. We've been doing that now for two years, increasing the number of currencies we hedge. And so FX tends to have less of a impact. Now, when you look at bookings, if you look at year ago, the dollar of course moved substantially in about January of last year. And so there is more of an impact when we look at our bookings, you saw 16% -- the 16% overall growth and the 11% constant currency much bigger than the revenue impact.
Sterling Auty: That makes sense, so I'm going to try to sneak one other one in. The maintenance to subscriptions conversion I think you mentioned 24. Are those 24 conversions the top customers? And what was the uplift that you saw on those versus the 134 from the channel?
Andrew Miller: Yes, so it's about half and half out of the large customers and that have VPAs where we've got to carry a stick and that half where we don’t have as a stick. There was one weird one in there that I'll talk about in a second. Exclude the weird one, the overall uplift was 16% basically, so in the same ranges as before. The one weird one was a very large customer that had very high support and so we didn’t quite get as much of an uplift on that one, but we, it was -- they just saw the value subscription, and we took them to the level that you'd expect for that price customers as far as what that pricing should be, but they previously didn’t have the same discount that those had.
Sterling Auty: You've said 50 uplift.
Andrew Miller: 50, yes that was the total uplift in like-for-like tends to be, 20% to 30% it moves around. Total was about 50%, excluding the one deal.
Operator: Our next question comes from Rob Oliver from Baird. Your line is open.
Rob Oliver: Just maybe one for Jim. Obviously great quarter on the IoT side for you guys and maybe to follow up on Steve's question earlier. To what extent do you guys think the embedded installed base of Creo, Windchill and SLM is a competitive advantage for you guys in these wins? I mean clearly these are competitive situations. And then given as a follow-up, how important the customer expansions are, like you said, Jim over 60%? How does the pipeline of kind of beta project and stuff look for this year?
Jim Heppelmann: Yes, so on your first question Rob, the installed base is a huge advantage and in fact we're doing very well within the installed base, but we're not limiting ourselves to it. I think there is a bit of a land grab opportunity here to sell in the base, but outside the base and we're doing both. But it is the fact that we're in these accounts, we know them. We're already working on that design and the products, maybe at the edges of the manufacturing process and now we're entering the manufacturing process, that’s very advantageous. So our install base has proven our original thesis when we entered the IoT based business was that the CAD PLM business was adjacent to IoT and I think we feel like that’s been validated. On your second question about customer expansion, we're really running a land in expand model, so in each quarter we're planting a lot of seeds and then going back to seeds we planted in previous quarters and up-selling them. So if we looked at the transaction, the vast majority of the transactions are small. But if you look at the revenue, majority of the revenue was coming from previous small transactions maturing. So, yes, this business is going well. The installed base is an asset -- the main asset though of course is the fact that we have a truly fantastic product, and we're able to go almost anywhere and beat almost anybody right now for smart connected product used cases or smart connected operations used cases. And then for other used cases in engineering elsewhere where ThingWorx more of an innovation platform than an IoT platform where the data and analytics pipeline that's feeding information and new formats into business processes that really unlocking some operational advantage or what have you.
Operator: Our next question will come from Ken Wang from Citigroup. Your line is now open.
Ken Wang: Just diving on that BMW transaction. Is it fair to assume that was one of your eight figure deals? And then as we think more broadly about that deal as should we think about them potentially standardizing across your portfolio?
Jim Heppelmann: Firstly, that's not eight figure deals this quarter. That was not an eight figure deal. It was a -- as we like to characterize it a small mega deal. Mega deal off course being the 5 million thresholds so as meaning it was not too far over that. So it was a very good deal. I don’t think we should get ahead of ourselves and suggest that BMW is going to standardize on our suite although I think incremental opportunities will be presented to us. What we want really was the process for how does it design get built in a specific factory in relation to an order, so you can imagine BMW makes lots of different types of automobiles and even motorcycles and stuff like that. And these products themselves are configurable. But then each of their 19 global factories has different equipment processes supply chains. And so the product is variable and then the process for making it is also variable. So you have like a variability time, variability problem. So when you go to buy a BMW and they decide to make in this factory, ThingWorx has to figure out how would you make that order -- I am sorry, well, Windchill and ThingWorx, working together have to figure out how would you make that order in that factory, and that's what we were selected for. That's a mission critical system for BMW. We didn’t displace every use of PLM and engineering. We didn’t displace their CAD systems. We worked selected as they are one and only digitization platform, but we certainly want a very big piece of business right in the middle of their business process. We competed long and hard and quite frankly again, we technically won. They were impressed by our technology both Windchill and ThingWorx. And they were impressed by our organization which is particularly strong in Central Europe. So I think we did a good job, our brand is improving a lot and BMW was surprised but what we are capable of doing and then we went from not being invited to the first round to winning the last run. And it was as a great journey and we were very proud of what we accomplished there. And I think lots of people will take notice in the automotive industry globally, and I think we will get more opportunities presented to us overtime by BMW. But then off course we'll have to go with them.
Ken Wang: Got it, impressive. And then a follow-up for Andy. You guys talked about 4 million in perpetual buys. Was that kind of roughly in line with what you guys are thinking better work? And then as we think about rest of the world impact, how should we think about I'd say I thought the contribution? Is it just similar to that 4 million?
Andrew Miller: Well, it was a little bit better than what we had expected you can tell that by looking at the fact that our perpetual revenue was above the high end of our guidance. That was a little bit better realizing America is in and Western Europe is 75% plus of our business. So I wouldn’t expect this biggest one when we end of life to the rest of world, although they do have a fewer seek from maintenance and some of those countries and a lot of people do the last time buy to also purchase maintenance, so they get access stuff quite on an ongoing basis. So as we get closer to the end of this calendar year, we'll have to assess that.
Operator: Our next question comes from Ken Talanian from Evercore ISI.
Ken Talanian: Thanks for taking the question. I was wondering if you could talk about what the pipeline of mega deal looks like for this year at least from your current vantage point versus last year?
Andrew Miller: Well, I would broaden the discussion and say you know when we do look at and then Jim jump in that when we do look at frankly the economy is -- a year ago we were saying, we felt it was still a bit of a headwind there, it was too early to call, call it neutral. And now we're seeing it really does seem to have improved. And we are seeing our close rates improve the last two quarters frankly. We're seeing deals tending to upsize as opposed to downsize, so we're seeing all the trends that are supported by a stronger economy. It’s only two data points frankly, there could have been some euphoria around you know year end passed legislation or people using that December budgets realizing that this was the calendar quarter end. So we don't want to get too far over the head of our skis here, but we do have a better environment that we're selling into right now that we did a year ago, clearly.
Jim Heppelmann: I don't have much to add to that.
Operator: Our next question comes from Matt Hedberg from RBC Capital Markets. Your line is now open.
Matt Swanson: Hey, thanks this is actually Matt Swanson on for Matt. First one for Andy on the maintenance conversions, as the sales force is kind of become more experienced -- was this, as this kind of did kind of creep into guidance? Are you still seeing mostly as upside?
Andrew Miller: Well, we said there is much of a -- in the current year much of the larger ones are already in our pipelines, they already in our guidance. It's the out years where more of it's not in the long term guidance. Clearly, we have a market growth rate assumption in there in the long term, which would -- and whenever we do these conversions to capture new bookings along with the conversion opportunity, so even in the long term there's a piece that's in there, not necessarily the uplift or the like-for-like. I would say that we still have a good opportunity to have our more of our sales reps driving conversions, it's a play that is still our best reps are driving it. The reps are seeing what's happening, but it hasn't turned into kind of the sales play that really everyone out there and the field has taken advantage of. And you see it primarily in Americas and Western Europe with a few exceptions in Asia, I would say. So it’s still a great opportunity frankly in front of us and we're focused on enabling our sales reps, getting them focused on this opportunity.
Matt Swanson: Alright, great. And then maybe one for Jim. Just an update from LiveWorx, could you talk about couple of those navigate like products you introduced the controls advisor, asset advisor and production advisor?
Andrew Miller: Yes, all of those products are what we characterized as starter applications in our factory -- Industry 4.0 factory story. And they all design to make it much easier to see the value of ThingWorx and get it in place in the production. And I think the fact that we're having so much success in this Industry 4.0 space is helped by those applications rather than having a general platform it could be applied to a specific problem. We have a general platform with a series of specific applications that will accelerate its application to that specific problem. So I just think it makes it easier to sell, easier to buy, easier to implement. And the success we're having in that space I think is evidenced, that's been a good strategy for us.
Operator: Our next question comes from Monika Garg from Pacific Crest. Your line is now open.
Monika Garg: First is, how are you thinking about exploration of perpetual licenses in other geographies, also any pushback commentary from customers due to exploration of perpetual license in Americas and Western Europe?
Jim Heppelmann: So, we've taken a really measured approach around how we've end of life perpetual. A year ago, we announced end of life in Americas and Western Europe and no pushback like what you saw from others who have gone through this process before, because we had already gotten so much of business going to subscription. The end of life announcement frankly break the inertia of the little orders that come in, someone bought CAD from us, they buy another sheet, they always bought perpetual. They've liked the perpetual orders for CAD and take it. And knows it was going to go back and try to commence the joint subscription. So, that was the -- that's the reason for the end of life. So we have been driving each of the deals to the point where it is predominantly subscription before we do the end of life. This quarter almost all our large deals were subscription, almost all our large deal bookings were subscription and Americas and Western Europe even with the perpetual end of life saw a majority of the bookings coming in subscription.
Monika Garg: As a follow-up at the midpoint of bookings guidance, it's about 11% growth. Can you just talk about the confidence you have to achieve low double-digit bookings growth for the next three years?
Jim Heppelmann: Well, basically you have the highest growth piece of the business getting bigger, so that actually makes it easier to achieve the low double-digit bookings growth. We have our long range signed out there because we're confident in that long range plan, that's the net.
Andrew Miller: Yes, it's playing out. I mean in the recent past and maybe even in the last two years, we've generally over performed the plan by performing against very high expectations in the IoT business and over performing in the CAD and PLM business. Now, if the CAD and PLM business were to slowdown and we keep to the market rates and we keep performing as we've been and expect to an IoT, we still be in double-digits.
Jim Heppelmann: The bookings growth which drives mid double-digits -- mid teens I should say revenue growth as we exit the subscription trough.
Andrew Miller: Right, so you nobody has the crystal ball, but I mean from where we're sitting and from what we see, we feel pretty good about those projections.
Monika Garg: Thank you so much.
Jim Heppelmann: The one thing that you might have seen in the prepared remarks, we had $5 million or more IoT deals this quarter. We didn't have any huge IoT deals this quarter. So it was broad based strength, which is a kind of thing you want to see it. It was further expansion, subscription bookings from expansion. So for me I am feeling better and better about our ability to achieve our IoT objectives over the next few years because this is becoming real. This is my fourth software company and I've been around in this business for -- this general business for 30 years. I've seen how these markets develop and grow.
Operator: Our next question comes from Saket Kalia from Barclays Capital. Your line is open.
Saket Kalia : First one may be for you Andy. Maybe an expansion of what was asked before, but can you just talk about how much perpetual license or revenue you expect to generate from the geographies? Where you will continue to offer perpetual, meaning, in the countries like Russia, China, India and the like, how much perpetual should we see from those geographies if here, just so we have an idea of how to model perpetual kind of longer term?
Andrew Miller: Yes, THAT'S not a perpetual because we're driving those for subscription as fast as we can, but I will tell you that our non-capital bookings, they together represent about 15% of our bookings. Now some of those geographies are already majority subscription, it just had reached that point yet where we're ready to announce in end of life. So as we believe a country has gotten to a point that it's the markets ready that we figure out the channel enablement, the direct sales enablement, the pricing and the packaging and the market then we're going to do subscription out there. We just have taken a very majored approached and its work for us so far.
Saket Kalia : And then may be for other review. And you've mentioned before the roughly half of the maintenance conversations in the quarter where you had a quote on quote stick works and others you didn’t. Can you just talk about how the profile of maintenance to subscriptions have changed in terms of mix of conversions where you have a stick versus where you don’t have stick and kind how that pipeline is that make sense kind look here in '18?
Andrew Miller: It's been about half and half ever since the beginning which is why we introduced the enterprise conversion option and it's why we're very focused on sales enablement. So there are raps realized that there is a play out there that we're making really creates value in all of our price accounts.
Saket Kalia : So I try to find tune you answer little bit. I think it's half and half in the direct space but in the reseller channel.
Andrew Miller: No, it's not.
Saket Kalia : No, it's not. But I'm just saying there is all carrot, in the fact that we’re actually from a transaction count starting to do. I think you said 137 in the reseller space. It means that we’re getting some traction where there is no stick whatsoever.
Andrew Miller: Yes.
Saket Kalia : And that’s very promising in my view. That means that this will play just based on carrot, which is of course what we mean to do because we have many more carrots and we just fixed at this point.
Andrew Miller: Yes, exactly and it liked to be a carrot. That means the customer is wining, we found something the customer value and they are willing to pay more for it.
Operator: Our next question is from Jay Vleeschhouwer from Griffin Securities. Your line is now open.
Jay Vleeschhouwer : Jim, let's return to the subject of automotive. You and I've spoken about that periodically over the last two years in terms of the opportunities there for you. And you've now in the space that we had two pieces of news on automotive including Toyota. So could you perhaps speak a little bit more broadly about the reconsideration, let's call it that the major autos might be going through as evidenced by BMW in terms of how they are thinking about PLM, thinking about that more broadly? Are you seeing business that is more or less classical PLM? Or do you think that there is the opportunity here for you is but more long the BMW lines where it fits in with your IoT equals PLM concept?
Jim Heppelmann: Yes, Jay. And I think that the automotive industry as a whole is going through a very big transformation. There is, these mega forces out there autonomy and electrification and sharing and mobility and so forth. And it's really causing changes in these automotive companies. And I think what this all come back to us as almost all of those strategy have worked in digital, and so I think every company, every major automotive OEM is thinking through, how do we use digital in more profound ways. And I think any company any industrial company that goes through a strategy around digital sooner or later realizes that PLM is a very important system. Because it's actually the single sources of the digital definition of things and so I think and again this is really was our premise with IoT, it was PLM as these two things were not only adjacent, but actually maybe IoT was the next generation of PLM. So I think that what got us in the door with BMW was not -- hey, we need a pin for pin replacements of a legacy PLM system, they said no. We are doing a digital transformation of BMW and to transform BMW, we are going to need a new way for example to move designs into production, and who has a system that could do that. Now it turns out, we do, it's Windchill with a bit of ThingWorx processing on top. And that was a great system. So I think that, as I've said I think that our opportunities will come from people taking a fresh look at what do our needs as opposed to who has the best version of yesterday system. And that's what got us into BMW and I would tell you we are having interesting conversations with numerous other automotive companies who are really stepping back and taking a fresh look at what really our needs and our requirements. And then who in the vendor community is kind of out there thinking in the same way we are. I think that's the big advantage for PTC because I think we are well ahead of our traditional CAD and PLM competitors and thinking about how the world is changing. And again BMW is great evidence to that.
Andrew Miller: The one thing I would add is, if you take a look at that Forrester Wave, they actually highlighted that fact that PTC's strategy though was not really rip and replace, it was be opened, be opened to be able to take data from other systems, bringing into other systems. And so, very well the automotive companies could very well likely keep their product data management within their existing legacy systems, but still leverage our capabilities in their digitization strategies without having a rip all that stuff out.
A - Jim Heppelmann: That's an important point I should maybe just elaborate on little bit. The key thing for people to know and Jay does know this, but for others who might not know it, we at PTC has no meaningful incumbency position in BMW or whatsoever. We were on the outside looking in and then there was a need, but we had to co-exist between a couple of other systems SAP systems, other PLM systems, legacy systems. And if we couldn’t be open enough to come in there and use our data pipelining techniques and so forth to trade data with other systems but apply our value add to along the way, there is no way we can win that business. But in the end, we are the only company who had both the openness and the functionality to make that work, and that's actually why we rose from stand on the side lines, looking at the building to ultimately closing the order with them. So I think it's a very interesting time in the industrial world in general and in the automotive business being a very advanced industrial business, we're starting to see some interesting possibilities. We don't want to get ahead of ourselves, but we feel good about things.
Jay Vleeschhouwer: Quick one for Andy, if I may. Would it be correct to say that conversions account for less than a tenth of booking? Or has that percentage been creeping up?
Andrew Miller: Less than a tenth of bookings that's the like-for-like yes, absolutely.
Operator: Our last question will come from Gabriela Borges from Goldman Sachs. Your line is now open.
Gabriela Borges: Maybe for Andy. You mentioned explicitly the timing of the $3.5 million deal that closed in 1Q instead of 2Q, I wanted to revisit the full year outlook for bookings and the $10 million raise. Did anything change in your assumptions for FX or for the overall macro pipeline given that commentary around that was a little -- still pretty positive through the call? Just wondering if that's being incrementally reflected in the guidance?
Andrew Miller: FX is a small tailwind to the bookings growth, it's a small one.
Gabriela Borges: And in terms of the macro pipeline?
Andrew Miller: Macro, you know the macro I would say is a factor too. We've had two strong quarters even we've had like four or five quarters, the PMI looking pretty good. But it was really Q4 where we highlighted the fact that we felt that the economy was no longer a tailwind. So we have enough data points -- a headwind, I mean. So we have enough data point states on headwind and another quarter makes us feel even better about that.
Jim Heppelmann: Right, but the uptick in guidance was really a function.
Andrew Miller: Part Q1 rolling forward maybe a little bit of currency.
Jim Heppelmann: Yes, yes.
Jim Heppelmann: Okay, thank you all. That's the end of our call. So let me just wrap up the call. I want to thank you all for joining and spending your time for us, with us this afternoon. And apologize once again for the snafu at the start of the call. You know when we step back and look at what's going on here at PTC as we transform the Company, we're proud of what we've accomplished so far, and a lot of shareholder value that's already been created. You know I think our Q1 results validate that we're gaining ground on this three part strategy, and we're confident that we're going to be able to execute the growth, the subscription conversion and the margin elements of that strategy. And as we do, we'll drive a substantial long-term shareholder value you know from this point forward. So thank you for joining. We hope to see you at an upcoming Investor event, and if not, we'll look forward to speaking with you on a call like this again in 90 days or so. So, operator, that concludes our call. Thank you.
Operator: Thank you. That concludes today's conference. All participants may disconnect at this time. Thank you again for your participation.